Operator: Hello and welcome to the Royal Vopak First Quarter 2025 Update. Throughout the call all participants will be in listen-only mode and afterwards there will be a question-and-answer session. This call is being recorded. I’m pleased to present Fatjona Topciu, Head of Investor Relations. Please go ahead with your meeting.
Fatjona Topciu: Good morning, everyone, and welcome to our Q1 2025 results analyst call. My name is Fatjona Topciu, Head of IR. Today, our CEO, Dick Richelle; and CFO, Michiel Gilsing, will guide you through our latest results. We will refer to the Q1 2025 analyst presentation, which you can follow on screen and download from our website. After the presentation, we will have the opportunity for the Q&A. A replay of the webcast will be made available on our website as well. Before we start, I would like to refer to the disclaimer content of the forward-looking statements, which we are familiar with. I would like to remind you that we may make forward-looking statements during the presentation, which involve certain risks and uncertainties. Accordingly, this is applicable to the entire call, including the answers provided to questions during the Q&A. With that, I would like to turn over the call to Dick.
Dick Richelle: Thank you very much, Fatjona, and a very good morning to all of you joining us in the call. Following our strategy update, we presented at Capital Markets Day in March, I want to highlight our key strategic priorities before we dive into this quarter’s results and achievements. First, we’re focused to continue to improve the performance of our existing portfolio. This includes both our sustainability efforts and our financial results with an operating cash return target for the portfolio above 13%. Second, we have the ambition to invest an additional €1 billion in our industrial and gas terminals, bringing our total investment in this area to €2 billion since 2022. Third, we reconfirmed our ambition to invest €1 billion to accelerate towards energy transition infrastructure. Our improve, grow, and accelerate strategy underpins our resilient business model and provides a solid foundation to continue delivering value. Now let’s move into the key highlights of the first quarter of this year. First, related to improve. In the first quarter of this year, the demand for our services remained healthy across the portfolio, resulting in a proportional occupancy of 92%, and we continue to serve our customers well. We reported strong financial performance, growing our proportional EBITDA to €300 million, supporting an operating cash return of 16.8%. We’re pleased with the signed agreements on the issuance of the new debt in the form of a USPP, which provides additional financial flexibility. Our joint venture, AVTL in India, has been granted conditional approval by the regulatory authorities for its proposed IPO. And we are confirming our full year outlook subject to market uncertainty and currency exchange movements. Our next strategic pillar, growing our footprint in gas and industrial terminals. Earlier this quarter, we announced an expansion for our Thai Tank Terminal in Thailand. This investment, which supports the import of ethane, is strengthening our industrial position in the Map Ta Phut industrial region. We’ve also commissioned expansion capacity in China and India. Let’s move to the acceleration towards energy transition infrastructure. We’re partnering with OQ in Oman for industrial and energy transition infrastructure developments in the future. And today, we’re pleased to announce an important expansion project in Alemoa in Santos, Brazil, related to new capacity for low carbon fuels and feedstocks. The project aligns with the growing demand for energy transition infrastructure in the region. Furthermore, we’re taking an another step forward in electricity storage with the acquisition of 100% share in a battery development company in the Netherlands. Our commitment remains unchanged to actively support our customers with infrastructure for the ongoing energy transition and to invest when opportunities arise at the right returns. Now let’s look at our financial performance. We see an overall strong performance, slightly higher this quarter than the same period last year. Gas markets remained strong, though our proportional EBITDA was down due to planned out-of-service capacity and the technical issues at Eemshaven, which was not the case in Q1 last year. The industrial terminals performed well with solid throughputs year-to-date. In addition, we saw growth contributions from newly commissioned capacity like Huizhou in China. Our chemical distribution terminals operated in a stable market environment. However, it’s important to note that underlying conditions in chemical markets, especially in parts of Asia, remained soft. Terminals storing and handling oil products performed strong. Global uncertainties and dynamics continue to drive the need for our infrastructure services. All in all, this has led to an increased proportional EBITDA of €300 million and a strong operating cash return in the first quarter of 2025. Our terminal portfolio is well diversified in terms of geography, products and contract duration. As you can see on this slide, our global portfolio is well spread over the globe in both mature and emerging markets. Approximately 15% of our EBITDA comes from the U.S. and Canada, 30% from Europe, and around 40% east of Suez, of which 8% from China and North Asia. Also, from a product perspective, we evenly store and handle products for the energy and manufacturing markets. And looking at our commercial diversification, we have a strong portfolio of long-term contracts with around 70% of our contracts exceeding three years in duration, around 80% of our revenues as a fixed take-or-pay nature. Our well-diversified network ensures stable returns, also in uncertain and dynamic times. Across the markets that we operate in there is uncertainty on trade tariffs. Vopak’s strength lies in a well-diversified terminal portfolio geographically by product and contract duration. Our infrastructure solutions have historically supported the dynamic nature of supply chains and provided the security of supply for our customers. We currently foresee limited direct impact on Vopak in the short-term. Our terminals in the U.S. serve mainly in the domestic flows and two thirds of the proportional revenues from our China business come from industrial terminals with contracts longer than 10 years. We allocate capital and resources to navigate this volatile macroeconomic environment and continuously monitor developments, acting as needed based on their impact. The situation is evolving and remains dynamic. Considering our current estimation of the impact of these developments, we are confident in reaffirming our full year outlook for proportional EBITDA between €1.15 billion and €1.2 billion, subject to market uncertainty and currency exchange movements. Building on a proven track record of strategic execution, we’re well positioned to capture growth opportunities in gas and industrial infrastructure, as well as infrastructure for the energy transition. This quarter, we announced three projects, totaling another €209 million of investments. For our largest projects, such as REEF in Canada, we have a large part of the cost locked in, making us less exposed to market volatility. We made significant progress in our growth investments, committing €1.2 billion over the last three years. This puts us firmly on track to meet our ambition on investing €3 billion in growth initiatives by 2030. This quarter, we delivered expansion capacity in China and India. At our Caojing terminal in China, we expanded with 110,000 cubic meters of industrial capacity, supporting our customer there. Also in India, with our AVTL joint venture, we keep growing. Two locations in Mangalore and Mumbai commissioned new capacity for liquid products. Brownfield expansions are attractive growth opportunities since they benefit from common infrastructure and drive synergies. Now let’s move to Thailand. In Thailand, our Thai Tank terminal within the Map Ta Phut industrial cluster, we have announced an industrial capacity expansion for storage and handling of ethane. Vopak’s share of the investment is around €130 million. The project will increase the capacity of the terminal by 160,000 cubic meters and is underpinned by a 15-year contract. Upon commissioning of the capacity, which is expected in 2029, the terminal will deliver attractive operating cash return. Moving on to our strategic pillar focused on accelerating the development of energy transition infrastructure. We’ve taken a final investment decision for an expansion in Santos, Alemoa in Brazil. We will develop 66,000 cubic meters of capacity for low carbon fuels and feedstocks to support the local ethanol market. Also, we acquired a 100% share in a battery development company in the Netherlands. This company owns land and has the permits and grid connection to develop a large-scale battery to store electricity, an opportunity we are excited about. Looking to the Middle East, we’ve established a strategic partnership in Oman. Our partner is OQ, a significant player in the region. In an exclusive partnership, we will explore future developments of both industrial and energy transition infrastructure. And we’re looking forward to a successful partnership in Oman, which is a new country for Vopak. So to wrap it up, we delivered strong results this quarter with a proportional EBITDA of €300 million and an operating cash return of almost 17%. Our portfolio is well diversified and resilient to ongoing uncertainties and macroeconomic dynamics. And we keep executing on our growth strategy by commissioning new capacity and announcing multiple growth investments. With that, I’d like to hand it over to Michiel to give more details on the numbers.
Michiel Gilsing: Thank you, Dick. And also from my side, good morning to all of you. In the first quarter of this year, we saw continued strong performance from our resilient portfolio. Demand for our storage infrastructure resulted in a healthy occupancy rate, and we continue to generate strong cash flows. These results highlight the strength of our well-diversified portfolio in terms of products we store, geographies we are active in, and the role our infrastructure plays, particularly in times of uncertainty and volatility. In addition, we continue to invest in attractive and accretive growth projects, while returning value to our shareholders. If we take a closer look at the performance of the portfolio, we can clearly see that the occupancy of our portfolio is both stable and high, reflecting the strong demand for our infrastructure. This is also reflected in the proportional EBITDA, which increased to €300 million in the first quarter of 2025, a slight increase year-over-year. This is mainly the result of a good contribution from our growth projects, partly offset by planned out-of-service capacity and technical issues at EemsEnergyTerminal. As mentioned, we continue to be focused on the cash flow generation of our portfolio. This is reflected in the solid operating cash return of 16.8%, which is relatively stable year-on-year. If we have a look at the proportional operating free cash flow per share, we clearly see that cash generation is strong and that our share buyback programs further supports the per share metric. Back to our global network, this slide provides a more detailed breakdown of the proportional EBITDA generated by our various business units. We can see that the growth projects have positively contributed to the proportional EBITDA year-over-year. Our Asian business units saw stable performance. And in the Netherlands, we had a weaker performance due to the temporary effect of repurposing capacity and some out of service capacity as well as continued technical challenges at EemsEnergyTerminal. Moving on to the cash flow generation, our cash flow generation was strong in the first quarter, resulting in €303 million of gross cash flows generated by the group companies and stable dividend upstreaming from our joint ventures. Year-on-year, gross cash flows increased by 10%. After tax payments, derivatives impact and other cash flow from investing and financing activities, we realized €259 million cash flow from operations. This is the available cash flow that we can allocate towards operating CapEx, which is our license to operate, growth CapEx and shareholder distributions, all in line with our capital allocation policy. Capital expenditures and shareholder distributions were well covered by operating cash flow, resulting in a significant net cash flow of €89 million during Q1 2025. It remains our priority to generate strong cash flows in order to fund operational CapEx, to pursue growth opportunities and to deliver value to our shareholders. Proportional leverage, which reflects the economic share of the joint venture debt, decreased to 2.55 times compared to the end of 2024, when it was at 2.67 times. If we exclude the impact of assets under construction, proportional leverage is at 2.2 times EBITDA. Our ambition for the proportional leverage range is between 2.5 times and 3 times. To facilitate the development of growth opportunities that enhance our cash return, Vopak’s proportional leverage may temporarily fluctuate between 3 times and 3.5 times during the construction period, which can last two to three years. If we have a look at the currency exposure of our balance sheet, all of our U.S. dollar-denominated external debt is used as a natural hedge, of which the biggest part is used for equity hedges. This strategy aligns our U.S. dollar liabilities with our U.S. dollar-denominated equity investments, reducing foreign exchange exposure and minimizing volatility in our balance sheet. This leads to a resilient balance sheet in a volatile market environment. Looking closer at our debt funding, we keep improving our well-spread maturity profile. Last month, we successfully signed agreements for a new debt issuance of around €560 million equivalent, which was nine times oversubscribed. The issuance consists of U.S. dollar and euro loans, of which €160 million is subordinated. All loans have a fixed interest rate and maturities ranging from five to eleven years. Due to the recent volatility we have observed in interest rates and currency markets, it’s important to highlight our sensitivities to these movements. Looking at the interest rate composition of our debt, roughly 80% of our interest-bearing debt has a fixed interest rate, which means that our financing cost has a low exposure to volatility in interest rates. If we look at the proportional EBITDA split by currency, we can see that 27% of our EBITDA is generated in euro, which means that for the rest of the EBITDA, we face translation risk in our P&L. To be a bit more specific, we show on this slide the sensitivity of our proportional EBITDA to changes in U.S. dollar, Sing dollar and renminbi. The translation risk that arises from the recent currency volatility is something we take into account in our outlook for the year. However, from a business perspective, we continue to see healthy demand for our infrastructure, while our growth projects deliver strong returns. We have updated the rates as per the end of March 2025, in line with the approach that we have used for currencies before as well. We confirm our proportional EBITDA outlook subject to currency exchange movements and market uncertainty. That brings me to the full year outlook of 2025. We confirm our financial outlook with a proportional EBITDA range of €1.15 million to €1.200 million, subject to market uncertainty and currency exchange movements. We expect proportional operating CapEx of around €300 million and proportional growth CapEx of around €600 million for 2025, updated from the range of €500 million to €600 million before. For the longer-term, our ambition remains unchanged. We aim to invest €4 billion proportional growth CapEx in industrial gas and energy transition infrastructure by 2030, while generating at least 13% operating cash return from the portfolio. And our ambition for the proportional leverage range is between 2.5 and 3 times proportional EBITDA. Before moving to the final slide, I would like to highlight our capital allocation framework, which is structured with the following priorities. First of all, maintaining a robust balance sheet through a healthy proportional leverage with a target of 2.5 to 3 times. Secondly, distributing value to shareholders via a progressive dividend policy. And as a result, we proposed a dividend of €1.60 per share. Thirdly, investing in attractive and accretive growth through focused investments with strong profitability and growth potential. And we have already committed €1.6 billion of proportional investments in gas, industrial and energy transition infrastructure since 2022. And last but not least, generating additional shareholder value through annual consideration of share buyback programs. We allocated a total of €400 million to buying back shares, of which €300 million was concluded in 2024, and €100 million to be done in 2025. Bringing it all together in this slide, we delivered on our financial performance with proportional EBITDA increasing year-on-year and a strong operating cash return in the first quarter of 16.8%. Our well-diversified portfolio caters for uncertainty and volatility in the market. We are committed to capture new opportunities to grow in industrial and gas terminals and accelerate towards new energies and sustainable feedstocks. These factors, combined with a strong capital allocation framework will create value to our shareholders. This concludes my remarks in this presentation, and I would like to hand it back to Dick for the Q&A.
Dick Richelle: Thank you, Michiel. And with that, I would like to ask the operator to please open the line for Q&A. Thank you.
Operator: [Operator Instructions] The first question comes from line of David Kerstens from Jefferies. Your line is open. Please ask your questions.
David Kerstens: Thank you. Good morning, gentlemen. I had a question on the tariff impact. You highlight limited short-term impacts – direct impact given your contract positions with long-term durations. How do you see the impacts play out over the longer-term?
Dick Richelle: Yes. David, good morning. Thank you for that question. So indeed, shorter-term as far as we can see – well, I think maybe one step back. The first and most important thing is, it’s still highly uncertain of what will happen and how this tariff war will play out. And that’s what we see when we speak to our customers. It’s not that we see active changes at this moment in time of supply chains given the current uncertainty. So I think that’s the starting point. As you rightfully say, so it’s our strategy to invest in long-term infrastructure underpinned with long-term contracts, we see that we have a very well-spread global diversified network from a geography point of view, from a customer point of view, contractor and from a product point of view, but also the type of terminals and the roles that the terminals play in the different markets is different and can be optimized given the need and the demand of our customers. What we see happening potentially is that supply chains over time might change. And that people are looking and companies, customers are looking for different supply chains to cater for their own needs. What we can do at this moment is to stay in very close contact with our customers to offer the flexibility of our network, the different opportunities that we have in our network. And therefore, we say in the immediate short-term we cannot immediately see that it has a big impact on Vopak. If you, however, would look at the medium to longer-term, I think a lot depends on the macroeconomic outlook because, obviously, a macroeconomic downturn could have some effect on the demand for the end products that we store. And at the same time, I think we have to take a look at what it will do to some of the supply chains that might change. But with that, I also want to bring in the recollection to earlier moments that we’ve seen larger disruptions of supply chains during Corona, also during the geopolitical tensions that occurred in the Ukraine, we’ve seen changes happening. But you also see that, by and large, when supply chains start to be disrupted and kind of like readjust to a new normal, it’s not necessarily a bad news for the infrastructure demand in all the locations that we have. So it’s a bit of a long answer. But I mean, it warns a bit of nuance because it’s not very easy to say exactly obviously what’s going to happen in 2026-2027. For now, the message is 2025 impact relatively limited. I hope that gives you a bit of a perspective.
David Kerstens: Yes. That makes sense. Thank you very much, Dick.
Dick Richelle: Thank you, David.
Operator: Thank you. [Operator Instructions] And the question comes from the line of Thijs Berkelder, sell-side analyst. Your line is open. Please ask your question.
Thijs Berkelder: Yes. Good morning. Congrats for the solid quarter. Can you maybe give more – a bit more detail on where we stand in EemsEnergyTerminal in the Netherlands? When can we expect it to be back in business, similar for the other service capacity in the Netherlands? And second question, can you provide us with a kind of outlook on your oil market view? And finally, are you seeing at this moment due to the geopolitical unrest that clients refer to store extra inventories on your side?
Dick Richelle: Let me try to answer these questions for you, Thijs. A, in terms of EemsEnergyTerminal is up and running. So it’s currently functioning, and we are functioning within the expectations of how we set them for the year and how we also announced it and have taken it into account in our outlook, which basically means that the technical limitations that the terminal has are being – at the moment are being solved by contractual discussions between us and our customers, which basically means we have a contractual arrangement with our customers with financial impact that is reflected in our outlook for the year 2025 to cater for the technical limitations. At the same time, we are moving ahead to actually make the necessary adjustments from a technical perspective so that in 2027, we limit the impact of – for our customers to a great extent, and that’s actually where we are today. So that’s, I think, on EET. Then on Flushing out-of-service capacity, that’s out-of-service capacity for – we have two large LPG tanks, refrigerated tanks. One has been taken out-of-service at this moment. So we don’t have any revenue and income for that one tank. It is expected to come back into service in Q3. And then we take the lessons from that first project that we’ve had. And then towards the end of the year and in 2026, we will take the second tank for a period out-of-service. So I think that’s the expectation for Flushing it. And that’s, again, also what we’ve taken into account for our outlook as we’ve confirmed it. Now maybe the oil market and your comments on the oil market, it remains actually quite strong, Thijs. So occupancy rates in the main hub locations, Singapore Straits, Fujairah, Rotterdam, remains quite healthy, above 95%. And I think the expectation for the remainder of the year on the oil market continues to be strong and quite healthy. What we also see is on the chemical distribution is also still, I would say, healthy and constant throughput in that area. No big surprises over there. I think what you see on some of the oil capacity is the opportunity to repurpose part of that capacity. That’s what you see happening in Singapore. That’s what we’ve already done in L.A. And that’s also the opportunities that we’re looking at in a place like the Europe. So by and large, I think the oil portfolio is still continuing with solid and good performance. And then your last question was related to whether we already see people making additional – or creating additional stock position. I think that’s too early to tell. So the simple answer is, we don’t get very strong signals in our network that is happening. I think it’s probably – but that’s my guess, a bit of a combination of the uncertainty maybe in some locations, also activity levels in Q2 onwards slightly less than what we’ve seen before because of the uncertainty, and that’s balanced out maybe with some additional stock for some of the products. So too early to tell, I would say. I hope that provides you with the right answer.
Thijs Berkelder: Yes. Thanks.
Operator: Thank you. [Operator Instructions] And the next question comes from line of Philip Ngotho from Kepler Cheuvreux. Your line is open. Please ask your question.
Philip Ngotho: Good morning. And I have one quick question. It’s on the Indian JV. We saw that you received conditional approval to launch the IPO. Earlier you indicated that you were expecting it to – the launch to happen in the first half of this year. I was wondering if you could give us maybe give an update on your thinking there also in light of the condition approval, but also in light of, of course, the current market volatility and whether you still expect it to go ahead in the coming – in the first half year. That’s it my question.
Dick Richelle: Thanks a lot, Philip, for the question. Yes, indeed, we got a conditional approval from the SEBI, the Indian authorities, on our draft prospectus. And so the process is moving in line with expectations. We’re now working on the updated draft prospectus in which we will reflect the comments of the Indian authorities. So we still are on track in terms of IPO in the first half of 2025. But as you rightly mentioned, let’s say, yes, the market sentiment is obviously quite volatile at the moment. Most of stock markets are under quite some volatile movements. The Indian market has done pretty well in the last month. But it’s very hard to predict what will happen in the coming months. So process-wise, we run into the right direction, sentiment to be seen what’s going to happen in the coming months, whether that will give a climate to launch the IPO or not.
Philip Ngotho: Okay. Thank you.
Operator: Thank you. [Operator Instructions] And the question comes from the line of Thijs Berkelder from – sell-side analyst. Your line is open. Please ask a question.
Thijs Berkelder: Yes. It’s me again. A follow-on question on Canada. It all seems to proceed very well quick right on time, on schedule. Meanwhile, China having conflict with U.S. will probably imply even bigger demand for LPG from Canada. So what is, let’s say, the time frame for potentially Phase 2 of your terminal in Canada? And to relate to that, is there a specific reason why the growth CapEx for 2025 is now lifted from the earlier level?
Dick Richelle: Maybe I’ll take the first part I’ll take and if you will zoom in on the second part of your question. So current facility, RIPET as we have it for the propane exports is actually running at full capacity, given indeed the demand that is coming from the North Asian side for direct exports. REEF, currently under construction and going according to plan. There is initial discussions between us and our customer, AltaGas on potential expansion. Too early to tell exactly when we expect to take a decision on that. We will obviously come forward once we see that there’s a clear path. The excitement or the prospect for potential expansion is definitely there. We, at the same time, want to make sure that we manage the execution of the current project and see what in the current setup is available for immediate expansion and how potentially a larger expansion could play a role in the further development of RIPET. And as you know, there’s plenty of land available and there’s plenty of marine capacity, so jetty capacity available, which I think is important. So it looks promising, but let’s take it one step at a time.
Michiel Gilsing: And then maybe on your second question, Thijs. So indeed, previous outlook on growth CapEx was between €500 million and €600 million. Now we increased to around €600 million. That has effectively two main reasons. Well, the first reason is that we committed to a few new growth opportunities so that, by nature, will increase the cash out for 2025 because these projects will start relatively quickly. And secondly, we have updated the cash out on the REEF project and that goes a bit faster the cash out without – by the way, an overrun than we previously thought. And as a result, we have updated this growth CapEx cash out for 2025.
Thijs Berkelder: Okay, thanks.
Operator: Thank you. Now we’re going to take our next question and the question comes from line of Kristof Samoy from KBC Securities. Your line is open. Please ask your question.
Kristof Samoy: Hello. Good morning. Congratulations with the results. Regarding the tariff wars, we have the reciprocal tariffs and the fentanyl tariffs. But what is your view on the potential U.S. port calls for China-linked vessels? And how this could impact your business? Do you see major – those being rescheduled risks for port congestion? And then on the tariff wars, I understood well from you [ph] that, for REEF, you are on track, you are own budget, so there is no risk for tariff or linked cost overruns anywhere linked to your projects? And then secondly, on the guidance, if I recall, on top of my head, the guidance you have reconfirmed but with a different FX rate. Now banks on a U.S. rate of $1.08 were currently higher. Can you stick to your guidance using the current dollar exchange rate? And on business development, if you could shed some light on where you see FIDs in the course of 2025? Thank you.
Dick Richelle: Thank you, Kristof. Maybe to start with the ships. That is indeed something that we are watching because it would imply an additional charge on every vessel that would go a U.S. port that has been made in China. There’s still, as far as we know, there’s quite a bit of lobbying efforts from some of the shipping companies that is ongoing. It’s not confirmed. So there’s still a lot going on to actually change this potential tariff, let’s say. So we are watching it. We’re in close contact with our customers. We’re in close contact with the shipping lines and see how this will further evolve. So we stay tuned on that.
Kristof Samoy: Okay. Thank you.
Michiel Gilsing: Good morning, Kristof, and maybe on the second and third and the fourth question. On the REEF, yes, we are indeed on track in terms of timing and budget, and we don’t see a significant impact on tariffs for the REEF project. By the way, we are looking at our full growth portfolio to see what the potential is of tariffs in terms of, for example, buying steel and concrete, things which might be subject to tariffs or are already subject to tariffs. So that’s carefully looked at and being monitored. Your third question is around the outlook. Yes, indeed, we took a U.S. dollar rate of $1.08 at the end of March. We’re now running at $1.15. Can we stick to the outlook? Yes, we looked at that, and that’s also – and still, we stick to the outlook. But as you can imagine, it will have a reducing effect on the overall EBITDA. So with the $1.08, we were probably at the higher end of the outlook. With the $1.15, we’re probably a bit lower than the higher end. So the mix may be to the lower end of the range to be seeing what’s going to happen with the dollar in the coming period, that’s also very hard to predict. And obviously, we have still some business growth to come as well in the coming quarters. So I hope that gives a bit of clarity on how we looked at the outlook. And then the update on the growth projects for the rest of the year, well, we don’t disclose any details on growth projects and which kind of investment decisions we’re going to take. But I can assure you that the funnel is still healthy. We will carefully look at which projects are still feasible in the environment in which we’re all in and what the impact is, as I said, of, let’s say, certain of the tariffs on our growth projects. But so far, we still see a very healthy prospect for growth in the company. So we still stick to our ambition of investing €4 billion proportional CapEx up to 2030.
Kristof Samoy: Okay. Thank you.
Operator: Thank you. [Operator Instructions] And the next question comes from the line of Quirijn Mulder from ING. Your line is open. Please ask your question.
Quirijn Mulder: Yes. Good morning everyone. So can you update us on, let me say, the situation with regard to the Eemshaven and the Veracruz. It had probably some negative. So how long will that take to continue? And how long will it take before it is solved? Sorry. Yes.
Dick Richelle: No. Go ahead Quirijn, sorry.
Quirijn Mulder: Yes. How long will it take before the problems are being solved? And then maybe on Zhangjiagang, because it looks like to me that the utilization was already in the press in the last couple of years, and it’s even worse than it is now in the last couple of years, in my view, if I read your text?
Dick Richelle: So maybe on Eems, Quirijn, good morning. So the answer to the question I’ve given earlier, I think it was Thijs, is that we are currently working on a technical solution that we hope to have in place and working by the end of this year and the start of 2026. The outlook that we provided includes the current impact as far as we can see that with our customers. So basically, that is taken into account already in Q1 and expected for the remainder of the year to continue. So that’s the situation around Eems. Veracruz, first quarter of Veracruz has been without occupancy in the particular tanks that we talk about, and we are working or the team is working very hard to find a customer for that capacity, and that remains to be seen when and how that’s going to develop. So that’s, I think, the situation on Veracruz.
Quirijn Mulder: So on Eemshaven, so you took an extra profit in the first quarter of €2 million. It was not clear whether it’s part of the EBITDA. And I also would like to know what is there still up there because it’s related to the fact that you have signed a contract with them without the right infrastructure in accordance with the customer demands in 2022, I understand. But – so how is the dynamics of that Eemshaven, let me say, when all the problems are over. Is that returning to a good profitability? Are we seeing the same level as we have seen in, let me say, for example, 2023?
Michiel Gilsing: Go ahead.
Dick Richelle: Yes. Maybe just on the last part, and I’ll leave the explanation of the extra income in Q1 to Michiel. But – so we have currently in discrepancy between what our customers are seeing in their contract and what technically we can deliver in the terminal. During the period that we don’t have the right technical solution in place, which, as I said earlier, is underway to get in place end of this year, beginning of 2026. But during that period, there’s a contractual arrangement with our customers to cater for the fact that technically we cannot deliver on what contractually has been committed for. And that is, as we see it in Q1, and that impact has been taken into account for the remainder of the year in the outlook. And then Michiel will talk about it, yes.
Michiel Gilsing: Yes. And I think the €2 million exceptional item was not in the EBITDA. Yes, it’s in the results, but not in the proportional EBITDA. And it had to do with a settlement with Gasunie on the acquisition price of EemsEnergy Terminal.
Quirijn Mulder: Thank you.
Operator: Thank you.
Dick Richelle: And then, Quirijn, you also asked a question on Zhangjiagang. Zhangjiagang, I think the situation there remains unchanged. It’s a challenged situation in terms of occupancy, which the team is working through. We don’t expect any big changes in the situation in Zhangjiagang compared to last year. And we keep on monitoring that and doing our best and utmost to make sure that we commercially fill out the terminal again, but no breakthrough expected.
Operator: Thank you so much. There are no further questions for today. This concludes today’s conference call. Thank you for participating. You may now all disconnect. Have a nice day.